Operator: Good day ladies and gentlemen, and welcome to the Sprouts Farmers Market Fourth Quarter 2015 Earnings Conference Call. I would now like to introduce your host for this conference call, Ms. Susannah Livingston. You may begin, ma'am.
Susannah Livingston - Sprouts Farmers Markets, Inc.: Thank you, and good morning everyone. We are pleased you have taken the time to join Sprouts on our fourth quarter and year-end 2015 earnings call. Amin Maredia, Chief Executive Officer and Jim Nielsen, President and Chief Operating Officer, are also on the call with me today. Sprouts' 10-K, the earnings release announcing our fourth quarter and fiscal year 2015 results and the webcast of this call can be accessed through the Investor Relations section of our website at sprouts.com. During this call, management may make certain forward-looking statements, including statements regarding our future performance and growth, product expansion, new store openings and 2016 expectations and guidance. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from those described in our forward-looking statements. For more information, please refer to the risk factors discussed in our filings with the Securities and Exchange Commission, along with a commentary on forward-looking statements at the end of our earnings release issued today. In addition, our remarks today include references to non-GAAP measures. For a reconciliation of our non-GAAP measures to the comparable GAAP figures, please see the tables in our earnings release. We believe these adjusted results provide a good basis to assess the operating and financial results of the company period-over-period. Also, please note that fiscal 2015 was 53 weeks, with the extra week falling in the fourth quarter, making it a 14-week quarter. For the fourth quarter ended January 3, 2016, we reported diluted and adjusted diluted earnings per share of $0.18. Adjusted diluted earnings per share increased 50% from $0.12 in the same period in 2014. On a 13-week comparable basis, adjusted diluted earnings per share increased 33% to $0.16. For the full year 2015, we reported diluted earnings per share of $0.83 and adjusted diluted earnings per share of $0.86, a 19% increase from 2014. On a comparable 52-week basis, adjusted diluted earnings per share increased 17% to $0.84. With that, now let me hand it over to Amin.
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Thank you, Susannah. Good morning, everyone, and thanks for joining our call today. We're excited to end the year with a great quarter and momentum into 2016. I could not be more proud of our team and the remarkable year we achieved through a near-zero inflationary environment, challenges in produce in the first half of the year, and an evolving industry. Throughout the year, the business accelerated and our strength in the industry continued to grow with our focus principles of health, selection, value, and customer engagement. During the fourth quarter, Sprouts' net sales grew to $930 million, up 27% from the same period of 2014 and up 17% on a comparable 13-week basis, driven by improved comp store sales of 7.4% that well exceeded our expectation and guidance. While produce remains an important traffic driver, our merchandising and operations teams' ability to drive sales growth across the store and all departments is really starting to differentiate Sprouts. We have competed in both the natural foods and traditional grocery sector for more than a decade. Operating in this environment has formed our business and execution strategy and sharpened our knowhow. This experience in buying, sales and merchandising and marketing, coupled with a great product assortment, value prices and friendly customer engagement, are continuing to resonate with customers as demonstrated by our results for the quarter and the year. The 2015 holiday season contributed to our strong fourth quarter comps, as we applied learnings from holiday seasons passed to deliver a compelling merchandise selection for our shoppers. Online ordering of turkeys and complete holiday meals more than doubled in November over the same period last year and increased in the triple digits in December, as Sprouts continues to establish itself as a healthy holiday destination. This resulted in a strong traffic to the stores above our historical rates for the fourth quarter. I want to recognize our sales and merchandising team for the exceptional work on a holiday program and operations team for the excellent execution in the stores, which drove this success. Regional sales performance remained strong in the fourth quarter. We experienced a small benefit of approximately 25 basis points in our comps from our California stores, which overlapped with closed Haggen locations. Let me shift to inflation. Inflation in produce increased in the fourth quarter and was partially offset by deflation in other categories, such as poultry, leading to an inflation of 1% for the fourth quarter. In addition, cannibalization from new Sprouts openings remained consistent with the third quarter in the 140-basis point range, and we expect this to hold in the 125 basis points to 150 basis points range in 2016. For the full year 2015, sales grew to $3.6 billion, up 21% and 19% on a comparable 52-week basis, with comp store sales of 5.8% and solid performance from our 27 new stores. We ended the year with adjusted EPS of $0.86, the high end of our guidance range set at the very beginning of the year. No doubt, the year had its challenges in produce and deflation, but in true Sprouts form, our team worked tirelessly to deliver in all areas of the business. They worked closely with our vendors, furthered innovation in products, including expansion of our private label program, continued to enhance our deli offering, deepened our connections with our customers through digital engagement, and deepened our bench as we successfully expanded to the Southeast. On the new store front, we ended 2015 with a total of 217 stores. Year-to-date 2016, we have opened seven new stores in four states for a total store count of 224 stores. Our pipeline remains strong with 58 approved sites, and 45 signed leases for the coming years. Our new stores continue to perform well with new store productivity in the mid-70%-s. Let me shift to 2016. 2016 is focused on three distinct areas of priority that will continue to maintain our relevance with our customers. These priorities are focused on sales growth, investment in infrastructure and investments in our team. Let me start with sales growth. We continue to enhance our product offering each year by listening to our customers and responding to their healthy living needs. As you know, we tested an improved deli offering in a few stores in 2015, featuring an extensive prepared salad offering, prepared food service case, fresh juices, and specialty coffee. We plan to add the new deli offering in approximately 70% of our new stores, as well as over 30 existing stores in 2016. We will continue to evolve other parts of our deli as well, including enhancements to our home meal replacement offering, with even better ingredients, more selections and improved packaging. We believe these deli enhancements will increase our daytime traffic and bring more relevance to our customer shopping experience without adding a tremendous amount of capital to our new store build-out. Private label will continue to be a key area of focus in 2016. Our private label brands grew by more than 30% in 2015 and represent now over 9% of our sales today and we believe this category still has plenty of room to expand for years to come. When asked in a recent study of thousands of customers, what they like best about our private label, the top areas were quality and taste. Given this customer response, we will continue to invest in this area, in both human capital and innovation of new products. We're proud of our position as a partner of choice with our vendors, thanks to many years of collaboration. As we scale and grow, so do our partners and together we're focused on continued innovation and compelling promotional opportunities that attract and engage our customers to Sprouts. We look forward to building on our 2015 successes. The second area of focus is our investment in infrastructure. To support our unit growth and remain an innovator in the industry, we will invest in improved technology for our teams. Some of the key investments include a business intelligence function, which will help our merchandising and marketing teams become even more effective and efficient in our promotional and pricing strategies. Second, our new human resource systems will give our team members the information they need at the tip of their fingers. Third, we will continue our journey to increase our customer connections through our focus on digital engagement. We will share our plans in this area in the near future. Collectively, these and other technology enhancements will allow us to continue building a company which is well-positioned to benefit our customers, team members and shareholders. The third and final area is continued investment in our team. We just wrapped up our first All Store Managers Summit a few weeks ago. This was a great time to align all of our store leaders with our 2016 priorities. Each store leader left with a clear understanding of the future of Sprouts and specific 2016 initiatives for their stores. Personally, what equally excited me from this summit is the first name basis personal connections and engagement with team members that we made. This is an open team member culture that we want to continue to cultivate at Sprouts. We also have launched a very busy 2016 training calendar for our stores and I look forward to seeing the results of these initiatives on sales and customer experience. We look forward to sharing the results of our three areas of focus, in sales growth, investment in infrastructure and investment in our team, as the year unfolds. Before I turn it over to Susannah, I want to touch on the other announcements released this morning. I'm thrilled to have Brad Lukow join us as our new CFO. Brad comes to us with over 20 years of experience in retail, six of those years as a public company CFO. Brad's strong business acumen, experience in scaling retail businesses, ability to work closely with merchants and operators, experience in leading real estate and technology functions and the strong financial acumen will bring even greater capability to our leadership team. We look forward to having Brad join us soon. I want to thank Susannah for providing strong leadership in her role as Interim CFO for the past six months, and working closely with Brad as he joins the company. I'd also like to thank Andy Jhawar for his guidance and leadership to the Sprouts brand and the board over the past four years. Andy has been an incredible business partner for Sprouts as we brought three companies together in 2011 and 2012 and then transitioned to a public company. We wish him continued success. Lastly, I'm humbled to be serving Sprouts as the newest member of its Board of Directors. With that, let me turn the call to Susannah to speak about our financial results and 2016 guidance.
Susannah Livingston - Sprouts Farmers Markets, Inc.: Thank you, Amin. As Amin stated, we are pleased with our strong results for the quarter and the outstanding year in 2015. We targeted sales growth of 19% to 21% and unit growth of 14%, and we delivered on these targets with top line growth of 21% and the unit growth of 14%. Our comps came in at 5.8%, within our long range guidance despite a year with near-zero inflation and challenging produce environment in the first half of the year. We also met our adjusted EPS range set at the beginning of the year, by achieving $0.86, with a strong acceleration in the business in the back half of the year. Let me spend a few minutes discussing some of the business drivers for Q4 2015 and guidance for 2016. For the fourth quarter, gross profit increased to $269 million, a 27% increase and our gross margin rate improved 10 basis points to 28.9% compared to the same period in 2014. This compared to compression in each of the first three quarters of the year. This leverage was primarily driven by the 53rd week in addition to lower utility costs and higher margins in certain categories due to deflation, partially offset by price investment. Direct store expense was $187 million for the quarter and as a percentage of sales was 20.2%, an improvement of 40 basis points compared to the same period in 2014. Excluding the loss on disposal of assets, direct store expense as a percentage of sales decreased 50 basis points to 20.1%. This was primarily due to leverage of store level expense and the 53rd week, partially offset by higher payroll cost, due to an extra holiday in the quarter and increased training initiative costs, as we continue to invest in our team members. SG&A totaled $32 million for the quarter and as a percentage of sales was 3.4%, an improvement of 10 basis points compared to last year. This was primarily due to leverage in the 53rd week and lower corporate expense, partially offset by higher stock compensation due to executive changes and higher bonus expense for the quarter. Adjusted EBITDA for the fourth quarter totaled $67 million, up 25% from 2014. EBITDA margin rate was 7.2%, a 10 basis point decrease compared to the prior year. As we noted on our call last year, a change in methodology of capitalization of new store development costs positively impacted our fourth quarter for 2014 EBITDA by $3.6 million or 50 basis points and we cycled that impact this quarter. Adjusted net income for the fourth quarter totaled $28.4 million, an improvement of 57% from 2014. On a comparable 13-week basis, adjusted net income increased 34%. For the full year 2015 review, gross profit increased 19% to $1.052 billion, resulting in a gross margin rate of 29.3% or a decrease of 50 basis points from 2014. Direct store expense as a percentage of sales for the year, excluding adjustments, was consistent with 2014 at 19.6% and SG&A as a percentage of sales, excluding adjustment, improved 10 basis points to 3%, compared to 2014. Adjusted EBITDA totaled $302 million, up 14%. EBITDA margin rate decreased 50 basis points to 8.4% compared to 2014, slightly better than we expected. Adjusted net income for the year totaled $135 million, an improvement of 21%. On a comparable 52-week basis, adjusted net income increased 17%. These results were driven by the strong top line sales, partially offset by price investments and increased promotional activities, in addition to lower interest expense as a result of voluntary paydown on our revolver, a decrease of interest rate from our April 2015 refinancing as well as a lower effective tax rate due to increased charitable donation. Shifting to balance sheet and liquidity, our balance sheet is stronger than ever as we continue to generate robust operating cash flows, which reduced our debt during 2015. For the year, we generated $240 million of cash flow from operations and invested $104 million in capital expenditures, net of landlord reimbursements, primarily for new stores. In addition, due to our strong cash flow generation, we voluntarily paid down $100 million of our outstanding debt during the second quarter of 2015. As well, in the fourth quarter, we repurchased $26 million of common stock under our $150 million share repurchase authorization and another $59 million of common stock in the first quarter, totaling a repurchase of 3.5 million shares in the fourth quarter of 2015 and the first quarter of 2016. With our strong operating cash flows and low debt, we are well positioned to self fund our growth plan and build on our strong liquidity position. Now, let me turn to 2016 guidance. We believe our strategic focus on the primary initiatives laid out by Amin will continue to drive sales and efficiency to our business, while remaining relevant to our customers. For the full year 2016, we expect net sales growth of 16% to 19%, driven by 36 new stores and comp store sales growth of 4% to 6%. On a comparable 52-week basis, this would equate to net sales growth of 18% to 21%. Adjusted EBITDA growth of 9% to 11%, on a comparable 52-week basis, this would equate to 12% to 14%; adjusted diluted earnings per share of $0.96 to $0.98, all in line with our mid-term targets, and we expect CapEx net of landlord reimbursement to be in the range of $145 million to $155 million. In regards to store openings, due to Haggen bankruptcy proceedings, we picked four of their sites. These are expected to open in 2016 and will be additive to our 14% unit growth for 2016. As we've always stated, we will be opportunistic when these situations present themselves, especially when they occur in markets where we have deep bench strength and solid teams, in addition to strong brand recognition. For 2016, we would expect to open up 36 stores but keep our long-term growth rate at 14% unit growth. Few additional items to note on the 2016 guidance. First, we would expect moderate inflation for the year of approximately 0% to 2%, aided by the current inflation we're seeing in produce. Second, as we've done in the past, we will continue to make price investments as necessary to drive top line sales and have considered that in our guidance. This will result in our overall 2016 gross profit margin to be in line with that from 2015. In addition, with our established store base in the Southeast, we plan on opening our new produce warehouse in Atlanta area, mid to late in the year. This will be a third-party logistics site and therefore, we'll not incur CapEx for this facility. Third, on the direct store expense line, while we expect to benefit from leverage from our pre-2015 vintage stores, we plan to invest in our team members with additional training and strategic wage increases. This will lead to a compression in DSE as a percentage of sales compared to 2015 by approximately 20 basis points to 30 basis points. We feel this investment is important to continue to strengthen and differentiate our in-store experience and build a strong pipeline of future leaders, given our unit growth across the country. Fourth, in SG&A that we have laid out today, we plan to make investments in infrastructure as we grow the company. These investments are expected to result in SG&A expense as a percentage of sales to be flat to modest compression of approximately 10 basis points, when compared to 2015. Both SG&A and DSE investments will be more front end loaded for 2016. Based on the components of margin DSE and SG&A above, we expect compression of approximately 40 basis points to 50 basis points to EBITDA margin for 2016, primarily driven by the strategic investments in direct store expense laid out in the call today. Below the EBIT line, we expect to have approximately $15 million in interest expense, including capital leases and other interest expense, a weighted average diluted share count of approximately 154 million shares for 2016 and a corporate tax rate of 38%. Lastly, for the first quarter of 2016, we expect comp store sales growth to be in the range of 4.5% to 6%. The heavy rains that occurred on the West Coast impacted the January produce crop. While this does not compare to the tightness we experienced last year, it has impacted both quality and availability of produce for the month of January, and also led to some inflation on produce. As we look out, these rains have eased and we don't see any significant headwinds to produce availability in the near-term. These factors have been taken into consideration in the Q1 comp guidance. In conclusion, we are very pleased with our financial and operating performance in 2015, especially as these results have exceeded industry averages. We're on good footing with a strategic 2016 plan focused on top line growth, developing our team members and appropriate investments in infrastructure and technology, to position Sprouts to be relevant with our customers and build an organization for sustainable growth for the long-term. With that, we'd like to open up the call for questions.
Operator: Our first question comes from Meredith Adler with Barclays.
Meredith Adler - Barclays Capital, Inc.: Hey, congratulations. I was wondering if you could talk a little bit more about the investments you're going to be making in direct store expenses, specifically I'm interested in understanding what you're seeing on the availability of workers and wages? And then maybe a little bit about turnover and the investments you're making in training. Are you keeping people to justify doing as much training as you're doing?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Hi, Meredith. Good morning. As far as – I'll take that in two part. And the first one as far as availability of workers, we've seen a little bit of flattening, but overall availability is good. Clearly, our ability to have people come in and move through the ranks, given our growth rate clearly helps us on that front to attract the talent. And our investment in training is really twofold; one is to improve, get even better on customer service and knowledgeable service and experience in the store and then at the same time continue to build the pipeline that we need for future store growth at 14%-plus unit growth.
Meredith Adler - Barclays Capital, Inc.: So in terms of the wages, are you actually seeing much pressure on wages?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: We're not seeing too much pressure except in a couple of markets. We are moving up. As we had mentioned on the last call, we've reviewed all of our wages and there are certain departments where we're really looking at the service element and we're moving on some wages proactively to ensure that we can improve our turnover in those areas and get quality hires as well as once the team members are trained to retain it. So your question about reducing turnover, our turnover is better than industry average. The reduction in turnover is really a focus on twofold; one is improved service and then second is so that we can retain the talent that we need for new stores. I think you also asked a second question about DSEs.
Meredith Adler - Barclays Capital, Inc.: Yes.
Amin N. Maredia - Sprouts Farmers Markets, Inc.: As far as the DSE investment is concerned, the primary investments are being made in, as I just mentioned, some for certain positions in wages, some dollars and benefits and then training also.
Susannah Livingston - Sprouts Farmers Markets, Inc.: Training, right.
Amin N. Maredia - Sprouts Farmers Markets, Inc.: And then on the G&A side, we're accelerating some infrastructure investments in business intelligence, some of the digital work that we're currently doing, those are the sort of two big ones and then also some hires in our sales and merchandising team.
Meredith Adler - Barclays Capital, Inc.: Okay, great. Thank you very much.
Operator: Our next question comes from Karen Short with Deutsche Bank.
Karen F. Short - Deutsche Bank Securities, Inc.: Hi. Good morning. Just a question on, starting on comps. I mean, I guess you said in your prepared remarks something along the lines of you're seeing continued momentum into 1Q on comps, but your 1Q comp guidance on a one-year and definitely on a two-year basis reflects deceleration. So can you maybe just reconcile those – the comments?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Sure. I think the first thing I would say is we had an exceptional holiday season. For the last three years, we've continued to build on our holiday season and this year was the best, so there is definitely some acceleration that happened in the fourth quarter for the holiday season. In terms of coming into this quarter, the only thing we have seen is, January is a little bit – availability in produce was a little bit tight and that's gotten better. So that just impacted some promotional capability early in the quarter, but we seem to be well on track and our other departments are doing well. So I think given all the different components here, we feel pretty good about being in that 4.5% to 6% range, and as produce continues to get better, which we've seen in the last few weeks, we feel good about that range.
Karen F. Short - Deutsche Bank Securities, Inc.: Okay. That's helpful. And then just bigger picture, in terms of your gross margin philosophy, I mean, I get the sense that you're not necessarily targeting strategic categories in terms of investments in the store. It's more, as you said, last quarter kind of wiggle room. Is that fair or has anything changed on your gross margin philosophy?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes, from a philosophy standpoint, I think we are – the strategy is still the same. We do a lot of price checks. We look at all the different categories based on both, not only categories but also different regions of the country. And so what we'll do is in areas where we know that over time things can potentially get a little bit more competitive or are getting competitive, we've generally taken an offense approach and move in quickly and we feel good about our 2016 guidance, having sufficient flexibility to move in some categories if we need to as we would normally expect.
Karen F. Short - Deutsche Bank Securities, Inc.: And have you seen any changes in the competitive environment more recently?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: I'll let Jim jump into that. Go ahead.
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: Yes, Karen, I'll break it down into the components we always talk about in terms of competition. New outlets was neutral on a sequential basis and the year-over-year basis. Regarding assortment, we have seen some more retailers carrying organic and natural products in their stores. Promotions was in line with prior quarters and we have seen some pricing investments and some of you have noticed that with some retailers and some regions. But all that being said, our 5.8% full year comp which accelerated throughout the year really speaks to our ability to differentiate through our health, value, selection and service.
Karen F. Short - Deutsche Bank Securities, Inc.: Got it. Thanks.
Operator: Our next question comes from Vincent Sinisi with Morgan Stanley.
Andrew R. Ruben - Morgan Stanley & Co. LLC: Hey, this is Andrew Ruben on for Vinnie. Thanks for taking the question. Just following up on the gross margin, so the impact of deflation was called out as a benefit, I was just wondering if you could talk more about how you make the decision of where to invest and when to let it drop to the bottom line? And if that calculation is different when you're seeing deflation in produce compared to other categories?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes. I mean, I think overall our philosophy is, we've shared before is we're very much a top line-driven company and a traffic mindset company. So, we do a lot of price checks and look at each of the different categories as well as the regions of the country and we'll generally maintain our produce strategy across the board, and then depending on competitors and region and how they move, we may take specific strategies in specific departments. So, I think in the fourth quarter, the only thing that most of you already know is some of the retailers, including us, benefited some from poultry, and benefited from poultry deflation, and we did gain some margins there, and at the same time we were able to offset some of that margin investment in other categories that we felt likely we wanted to be more competitive in certain regions, so, those two offset each other in the fourth quarter.
Andrew R. Ruben - Morgan Stanley & Co. LLC: All right. That's helpful. Thank you. And then just in terms of what you're seeing on the produce side, any more detail you can provide in terms of what categories have been affected, what the magnitude is and kind of timing for it to all work through? And what the outlook is for produce throughout the quarter?
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: Yes, sure. This is Jim. Kind of looking back, Q4, we did see inflation in produce, categories like apples, berries, melons, and wet veg, and as Amin alluded to, we saw some of that carryover into early Q1, it was driven by the heavy rains, but the outlook for produce is to be inflationary in kind of the first half of the year, stabilizing in the back half.
Andrew R. Ruben - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: Our next question comes from Alvin Concepcion with Citi.
Alvin Caezar Concepcion - Citigroup Global Markets, Inc. (Broker): Great. Great quarter and congratulations to Brad and thanks as well, Susannah. Just a follow-up on the same-store sales color. I'm wondering if you could give us any more color on any particular categories or regions that performed better than you expected in the quarter.
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: Hi, Alvin.
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Go ahead, go ahead.
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: Hi, Alvin, this is Jim. We don't speak to region specifically, but we saw nice comps across the board, but some of the things that Amin alluded to, obviously Q4 our strong holiday program that the sales and marketing and ops team assembled was extremely successful, in fact our most successful to date. We also saw some of the items that really drove that were key holiday items, turkeys, ribs, our holiday meals, non-perishable holiday items, and we had outstanding performance from our private label. The Thanksgiving and Christmas holiday in and outs drove a 40% top line growth in private label, and our private label penetration exceeded 10%, and then we've also seen some really, really strong tailwinds in all the attribute categories, your gluten-free, organic, your non-GMO, vegan. So all those, we continue to be an industry leader.
Alvin Caezar Concepcion - Citigroup Global Markets, Inc. (Broker): Great. And I'm just curious, what kind of inflation have you been seeing lately? I mean specifically what's baked into your 1Q 4.5% to 6% same-store sales number?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes. I think that we're starting to see – we saw heavy inflation in January and that's starting to flatten a little bit in the produce category. But I think the first quarter is, we're probably closer to the 2% range as Jim alluded to. So in our numbers, I think that there's probably call it 1.5% to 2% of inflation in the first quarter, and I think as we go through the year, we could see it flattening a little bit.
Alvin Caezar Concepcion - Citigroup Global Markets, Inc. (Broker): Got it. And last one for me, a question on sourcing. It's been a huge advantage on the West Coast. As you're going to the new markets in the Southeast, is your sourcing advantage translatable? Are you still getting good quality, good prices as you move into these new markets?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes. We obviously are on the produce side and as well as some of the bulk items, we have a DC in Dallas and that's always provided to the middle of the country, and as we move into Atlanta later this year, we are going to be adding a DC in the Southeast. It's going to be a 3PL facility, so won't have a CapEx implication. However, that will allow us to condense some times and get the product to the stores a little bit quicker, and continue to kind of meet our promise of getting produce and other key fresh items to the store in a short period of time. So, we feel pretty good and as we've mentioned before is the middle of the country tends to be a little bit higher in distribution costs and it translates into slightly higher retails, and so really to the extent that the distribution costs are a little bit higher in certain categories, to get to that region you generally see that being reflected in retail. So, we're not concerned from our perspective of being able to pass it through to the customer.
Alvin Caezar Concepcion - Citigroup Global Markets, Inc. (Broker): Got it. Thank you very much.
Operator: Our next question comes from Scott Mushkin with Wolfe Research.
Scott A. Mushkin - Wolfe Research LLC: Hey, guys. I just wanted to clarify a couple things on the store growth. I mean, I didn't really get it. Is the 36 inclusive of the four stores that you're bringing on from Haggen or is the four stores in addition to that?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes, the 36 is inclusive, so if you do a 14% calculation, it would be 31 stores and then we have four Haggen and then we had a latecomer in one of our existing markets. We saw a great site. It came available and we just took it because it's a mature market and it's a site that can open later this year, we decided to go ahead and add it in.
Scott A. Mushkin - Wolfe Research LLC: So, the 36 is inclusive with all that, and the revenue growth is inclusive, top line growth inclusive of everything, just wanted to double check I have it right.
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Correct. And the four Haggen stores will open in the back half of the year, starting late Q2, beginning of Q3 just because they require quite a bit of work inside the site, demising walls, et cetera because in some cases, we won't keep all the square footage and we have some good co-tenants that are already lined up and in final stages of works coming to those sites with us.
Scott A. Mushkin - Wolfe Research LLC: Okay. Perfect. Thank you. And so then the second question is probably for Jim. Jim, as we've been out in the field, we've been noticing it's flattering, you get copycats out there as far as what produce we're noticing. I think you guys have, sometimes in your stores, like limes for $0.25 each, kind of smaller apples, maybe lunchbox size apples. We're seeing this be adapted or this strategy going into some of the traditional grocers. So, I kind of look at that. And then I also look at, not a direct competitor necessarily, but Whole Foods and their pricing. And I guess we're trying to get comfortable that gross margins won't need to come in a little bit as the year goes on, if competition continues to ramp up and encroach.
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: Yes. Hi, Scott. As far as pricing and pricing investment, what we saw in Q4 as well as what we're seeing in Q1, we're not seeing anything that's not in line with prior quarters. But what we continue to do is solidify how we source the product to ensure that we are getting the best price, so we can pass it on to consumer. We're also focused on expanding our variety. So not only the value-added, but the organic side of the business. And then as Amin alluded to earlier on the training program, one of our major initiatives next year is improving our engagement from our team members. So, we think that three-pronged plan gives us ability to differentiate ourselves.
Amin N. Maredia - Sprouts Farmers Markets, Inc.: And, Scott, the only thing I would add in addition to what Jim said, is some of our focus areas in the store are, and whether it's growing deli, growing private label, et cetera, those areas do carry a slightly higher margin than the overall blend and given that that allows us the ability to translate that into price investments as the market conditions require.
Scott A. Mushkin - Wolfe Research LLC: And does the new deal with KeHE help us as well too? Is that kind of something you can use to get some pricing into the market?
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: The new deal with KeHE?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes, we have not redone our contract with KeHE. I know KeHE recently announced an acquisition and so that we won't speak to this specific contract but they acquired a fresh business, but, Scott, we have not – at this point, we have not – both of our contracts expire in 2018, so that's something obviously we'll work towards sometime next year. When I say two contracts, I'm talking about the KeHE and the UNFI contracts. So, no huge change into this year's numbers, in short, from that contract.
Scott A. Mushkin - Wolfe Research LLC: Okay. Perfect. Thank you for the clarification. Thanks, guys.
Operator: Our next question comes from Bill Kirk with RBC Capital Markets.
William Kirk - RBC Capital Markets LLC: Thank you for taking the question. I'm curious why isn't the expanded deli going into all the new stores? I think you said 70% of the new stores, so just curious what the difference is between the locations getting it and the locations not?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Sure. The biggest driver is the daytime population. Obviously, our location is – we have a very broad segmentation of customers and we're able to put a Sprouts location in a lot of different places. And so what I would – probably a better representation is, the 70% of our stores are going to have the full complement of deli including the expanded initiatives. But even in the other 30%, we'll still have a good deli offering plus some additional items that we're putting into all stores from our expanded initiative, but they may not have the full complement that we might and that's a function of daytime traffic.
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: Bill, the only exception, the only item that we wouldn't see in there would be the salad bar. So it'll have all the other components.
William Kirk - RBC Capital Markets LLC: Okay. And so, is it a size issue too or is it just the market?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: It's not size. It's primarily the daytime population would drive to the decision on the complement of deli. If you're way out in the suburbs and you might not have as high of a daytime profit count or an average full population count, then we decide just to put in a more effective complement. What I'll say is, we are wiring and piping all of our stores for the full complement. So, to the extent that those stores are doing well on the deli side, it would be very low CapEx cost to add the additional items into those 30% of the stores. So, if we're seeing good 12'o clock, 5 o'clock in the stores, it will be very easy for us to add those one or two items that we're not adding in going out of the gate.
William Kirk - RBC Capital Markets LLC: Okay. And in terms of unit expansion, is it worth reading into Brad's experience in Canada?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: No, that would be way too early. We just really enjoy Brad for his depth and breadth of working with an organization which grew from $3 billion, $4 billion to $13 billion over time. And his wide breadth of business experience, real estate experience, technology experience, finance experience, and the most important, the culture and the fit that he brought to the team. So, no, that Canada would be too far of our reach at this point.
William Kirk - RBC Capital Markets LLC: Okay. Thank you.
Operator: Our next question comes from David Magee with SunTrust Robinson.
David G. Magee - SunTrust Robinson Humphrey, Inc.: Yes, hi, good morning, and congrats on a good quarter. Jim, when you mentioned that certain retailers are investing in price, could you talk about whether that's more on a conventional side or on the organic side. And is there any sort of common dynamic that would trigger additional price investment from those competitors?
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: I can't speak to the other competitors, but when I was referring to price, it's primarily anchored around the natural organic packaged goods, and it's only in a few markets and it's been a slight investment, which has been pretty consistent quarter-to-quarter. So, we haven't seen any material shift in that type of investment, with regards again to what our retailers going to do I speak to that, but I feel very, very comfortable about our pricing strategy and the strategies that we have developed that we react to quickly, and our sales have responded extremely well.
David G. Magee - SunTrust Robinson Humphrey, Inc.: Thank you. And did you all announce any new markets for this year?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: No. I think in 2016 all of our openings are going to be in our existing states. So, we're not – we'll be going to some additional markets within states, but we're not going to be expanding any new states in 2016.
David G. Magee - SunTrust Robinson Humphrey, Inc.: Thanks, Amin. And I noticed recently that there is a store here in Atlanta that's in town, that's sort of tucked into a – it was a in-town work-live center and I just – which I haven't really seen before you all do it. So just curious if that's something that you're happy with and might be bought or provide more opportunity for openings?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes. I think I call those almost, you have sort of urban locations, semi-urban locations and then suburbs, though specific store that you're referring to is, I'll put it into that sort of semi-urban location, and we've had great success in that type of environment where areas are re-gentrifying, and it's provided us some strong sales. So, that store would fit – in Morningside would fit into that category, and I was at that store and I'm pretty excited about we're still doing some additional things on signage et cetera with the landlord that I can enhance it even further. But we're excited about the starting of that store and how that store is going to work. So we've had great success of those types of locations in Denver, and in other markets, and parts of California. So, look for us to continue to take that strategy and frankly as we keep building out our deli program that allows us to be more relevant with that type of customer.
David G. Magee - SunTrust Robinson Humphrey, Inc.: Great. Thanks and good luck.
Operator: Our next question comes from Andrew Wolf with BB&T Capital Markets.
Andrew Paul Wolf - BB&T Capital Markets: Good morning. I wanted to ask a couple of follow-ups on some of the human resource allocation, things you have been talking about with investing in training, wage increases for entry level folks, particularly on the training side, is this an element of trying to catch up to your pipeline? Do you feel you need to get more sort of deeper bench in terms of the number of potential store managers and so forth? Or is it more you're just trying to deepen what you can give to the service levels you can provide?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: I think it's both. It's to deepen our bench for growth. I think the bigger opportunity from our perspective is there are certain departments we can be doing even better from a customers' service and its knowledgeable customer services with our model when customers come in the stores, they have a lot of questions about attributes and specifics within departments and as we've added more attribute-based product, whether it's in the meat and seafood section or other areas of the store, customers ask a lot of questions, and it allows for an opportunity to engage with the customer, and give him that customer knowledge, but that requires you to have the knowledge on the floor at all times. So, I think it's both, it's partially building the bench. Where I'm excited about is providing them sort of that customer experience and the memory to really drive loyalty into the Sprouts store. And we've seen that accelerate in certain departments where we had started training. And because we have seen that waterfall into expansion of comps into those categories we should feel like that's a good opportunity in other areas of the store to keep expanding the service.
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: And, Andrew, as far as pay, 90% of our markets are above – or starting wages are above minimum wage. So, we feel very, very good about kind of where we've started and we continue to invest there, as well as our average hourly rate is well above the industry average. So, we've continued to invest there and it's paying dividends helping to reduce our turnover and attract a better group of potential team members.
Andrew Paul Wolf - BB&T Capital Markets: Okay. On the last point, Jim, is that a recent step-up, because last quarter, I think you referenced entry level wages. Is that a new step-up?
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: Yes. We did step-ups throughout the year last year. So, Amin alluded to, we took certain departments and job classes and we made some changes. We made some changes within states. But, beginning of this year, we made some changes in all markets in order to make sure that we were well-positioned and we feel very good about our current position.
Amin N. Maredia - Sprouts Farmers Markets, Inc.: And those are the – that's the 30 basis points, 40 basis points that part of that 30 basis points, 40 basis points as Susannah alluded to in her opening remarks of adding that to the wages as well as benefits and the training cost. So, those three pieces are that 30 basis points she talked about.
Andrew Paul Wolf - BB&T Capital Markets: And just one last, and it's a follow-up on the same questioning. Whole Foods had some staff reductions, a lot of well-trained store employees I think were left or were let go. Has that availability helped you try to recruit talent and some of those people finding their way to Sprouts?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes, I mean, I think our talent process is coming from many different retailers, I won't speak to any one specific – one specific company, but overall, we see talent coming from a lot of good food retailers, and other non-food retailers, as well. And really when you talk to individuals about why they came to Sprouts, you hear two consistent messages, is one is the growth opportunity to advance their personal and professional growth. And the second is just the great work environment, because they can influence peoples' healthy eating habits and it's a great environment to be in. So we feel pretty blessed and fortunate on being able to work on that front as well.
Andrew Paul Wolf - BB&T Capital Markets: Okay. Thank you.
Operator: Our next question comes from Bob Summers with Macquarie.
Bob Summers - Macquarie Capital (USA), Inc.: Hi, good morning, everyone. Just a couple of quick questions. On the new deli offering, what's the lift in terms of margin sales or both? And then what's the right way to think about the cadence of the rollout?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes, in terms of specific comp lifts and we've only done it in a handful of stores, so we won't talk about it in that context. The only thing I would say is the ROI is well north of 20%, and I'll leave it at that. And as far as the cadence of the rollout, I'll let Jim speak to it, it's fairly even throughout the year, but generally, we try to get things done in the first nine months of the year.
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: Yes, so as Amin mentioned, there were 30-plus stores that we'll be launching. Obviously, it was really critical for us to get off to a right start and make sure that we didn't have any issues in the first rollout. So, we will be completing all the deli initiatives by the first part, late second quarter, first part of the third quarter.
Bob Summers - Macquarie Capital (USA), Inc.: Okay. And then just bigger step back, it seems that some – there is a tendency to oversimplify what you do and what you've accomplished. And so, as you think about sourcing, pricing, store execution, the overall store experience or the overall experience, just remind us again quickly why the business model is defensible and difficult to replicate?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes. We wish we had about six or eight hours on this call. I think there is a lot of elements to any business, including the Sprouts business, everything from sourcing to buying to pricing to promotions, to the layout of our store, the ease of the shop, the clarity of coming in and know you're feeding your family healthy, the environment, the customer engagement, the customer service. So when you put all the elements together, as we all know that there are nuances of any businesses that make them special whether we're talking about Starbucks or somebody else, and we really feel fortunate to have many of those elements at Sprouts. However, given I know that we have opportunities in various areas of customer engagement, continuing to move the private label forward, continuing to move the 12 o'clock, 5 o'clock forward. And all of these elements that we're really focused on moving forward are not just what we think, but they're also what the consumer is telling us. We continue to, every 18 months do a deep consumer engagement, customer study of our customers, our competitors' customers, et cetera and really learn from that, become students of that and see how we can get better. So, I would say there is a lot of elements today, but we have our differentiations today, but we know in any business, differentiations shift over time, and we're not going to be static as a company around us. We're going to keep moving forward as a consumer preferences evolve.
Bob Summers - Macquarie Capital (USA), Inc.: Okay great.
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: Hey, Bob, if you get an opportunity to come out to Phoenix, I will personally give you a tour of our store, and I think you'll gain a really good appreciation of why we're just, we're a little bit different and we differentiate in many different categories. But, I think you got to experience it to really feel it.
Bob Summers - Macquarie Capital (USA), Inc.: Oh, no, I mean, I'm in agreement that it's differentiated. I just think that others need more convincing.
Operator: Our next question comes from Mark Wiltamuth with Jefferies.
Mark Gregory Wiltamuth - Jefferies LLC: Hi, thanks. Wanted to dig in a little bit more on your exposure to meats, because the broader market is nervous about meat deflation and clearly it did not hurt you. This call, just wanted to get your percentage of sales that is in the meat area and maybe just contrast how big your poultry is versus your red meats?
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: Yes. We don't disclose what percentage of sales are by department. But as far as the fresh meat side, it's fairly in line with the conventionals, and we did see deflation in poultry and pork and we continue to see that the first part of the year, but again it will taper and move towards inflation in the back half. So we just did a good job of managing it and manage the prices relative to the market. So we didn't have any exposure.
Amin N. Maredia - Sprouts Farmers Markets, Inc.: The one thing I would add is, where we're a little bit different than some of the other retailers is produce is 25% of our business and we did see slightly – and we did see higher inflation on the produce side in the fourth quarter and into the first quarter here. So I would call that out is our mix is different. So when we talk about 0% to 2% inflation for the year as well as sort of a 1% to 2% inflation for the quarter, that element includes the produce because we have a higher produce penetration than most conventionals.
Mark Gregory Wiltamuth - Jefferies LLC: Right. But I would think your meat penetration is probably still lower. I mean it's like 14% for most conventional grocers.
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes. On a total mix basis, it is lower because of our higher produce mix, right, as well as we have other departments that conventionals don't have or where we have a higher mix. So that's correct. We actually do disclose meat and seafood overall, which includes poultry or meat, seafood; combined it's about 9% of our business.
Mark Gregory Wiltamuth - Jefferies LLC: Okay.
James Leroy Nielsen - Sprouts Farmers Markets, Inc.: Go ahead.
Mark Gregory Wiltamuth - Jefferies LLC: And then, did you disclose traffic ticket for the quarter?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes. Traffic for Q4 was almost 70% traffic, so it was close to 5% of our 7.4% comp, or it was just at 5%.
Mark Gregory Wiltamuth - Jefferies LLC: Okay. Thank you very much.
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Thank you.
Operator: Our next question comes from Zack Fadem with Wells Fargo.
Zachary Fadem - Wells Fargo Securities LLC: Thanks for taking the question. Can you talk a little bit about the impact of the competitor bankruptcies in California? You said it helped the comp by about 25 basis points. Do you expect the same or similar impact over the next two quarters or next quarter? And separately, are you seeing any slowdown in your Texas and Oklahoma stores due to the energy sector downturn?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes. So in California, that 25 basis points will dissipate over the next couple of quarters, as we talked about we're opening our four stores in June and after that there are a few other retailers who took those stores, who some of them didn't close the stores, or they turned the stores fairly quickly, opened fairly quickly and others are going to be opening them in the next six months. So we'll see that taper off in the first half of the year. And then in terms of Texas, we've seen slight impact in certain pockets of Texas. We've not seen it across the board. But areas which have a higher number of oil and gas jobs over the economy, just feels a little bit more sluggish because of the downturn and consumers are a little bit more – little bit closer to the chest. We've seen a little bit of an impact, but one of the things that differentiates us is our value prices helps us maintain that sort of momentum in the business, as many of you know that during the last big downturn in 2008/2009, Sprouts was one of the few retailers who continued to comp positively throughout the recession. So, we feel good about that in our model.
Zachary Fadem - Wells Fargo Securities LLC: Got it. And on cannibalization, at 140 basis points, that was a little higher than we thought in the quarter. So just with respect to the new stores in fiscal 2016, you said most of the openings are existing markets. So does that translate to the 125 bps of cannibalization or could it be higher? And how does that typically compare assuming your typical 70%/30% split?
Amin N. Maredia - Sprouts Farmers Markets, Inc.: Yes. So, typically, our split is 70%/30% and for 2016 it's going to be right around that, maybe slightly higher end in – slightly higher, but it's in about that range because of the four Haggen stores. But those additional stores don't really add any meaningful cannibalization to our existing stores. So I think that because we have that 70%/30% split, we would expect that 125 basis points to 150 basis points to be in the wide range. And many times when we do see that cannibalization, it's purposeful in the sense that our volumes are just so high in a nearby store that we'll open a store to peal that to allow that store to grow again. And we've seen that over and over, so that strategy has played out for us. So we're continuing that.
Zachary Fadem - Wells Fargo Securities LLC: Got it. Thanks a lot.
Operator: Well, ladies and gentlemen, this does conclude today's question-and-answer portion. I would now like to turn the call back over to our host.
Amin N. Maredia - Sprouts Farmers Markets, Inc.: All right. Thank you, everybody, for joining the call today and we really look forward to providing updates throughout the year on our key initiatives, as well as our performance. So, we'll see you in the markets soon. Thank you.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect and have a wonderful day.